Operator: Greetings, and welcome to Intellinetics Fourth Quarter and Full Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, CFO, Joe Spain. Thank you. You may begin.
Joe Spain: Thank you, and good afternoon, everyone. I'm covering the Investor Relations intro today, so I am pleased to welcome you to Intellinetics 2024 fourth quarter conference call. Before we begin, I would like to remind listeners that during this conference call, comments made by management may include forward-looking statements regarding Intellinetics, Inc. that are not historical facts. These forward-looking statements are based on the current expectations and beliefs of management, and they are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. Intellinetics Inc. undertakes no duty to update any forward-looking statements. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release issued today, as well as risks and uncertainties included in the section under the caption, Risk Factors and Management's Discussion and Analysis of Financial Conditions and Results of Operations in our annual report on Form 10-K filed earlier today. Also, please note that on the call today, management will discuss non-GAAP financial measure such as adjusted EBITDA and recurring revenue. Non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP and may be different from non-GAAP financial measures presented by other companies. A reconciliation between GAAP and non-GAAP measures can be found in the press release issued today. With all that said, I would now like to turn the call over to Jim DeSocio, Intellinetics' President and CEO. Jim, the call is yours.
Jim DeSocio: Thank you, Joe. 2024 was another solid year for us, as we continue our mission. We are investing to exploit our opportunity to grow more rapidly, as we transform into a predominantly SaaS driven company, with a diverse growing suite of solutions for our customers in the digital transformation space. On top of that, we completed 2024 with another extremely strong year of cash flow generation. Our main story continues to be our Payables Automation Solution. We are confident it will be the driver, to take our business to the next level. As I've said in prior quarters, I've been in software my entire career, and this launch is going as well, or better than any launch I've been involved with - I've been involved with. Customer acceptance is high, and the ROI story for our customers is amazing. One of our largest customers is processing over 11,000 invoices a month with zero touch. Let me say that one more time. Over 11,000 invoices a month with zero human intervention. Those are significant results, and we're very proud of our solution. In last quarter's call, I referenced our presentation at the BuildSmarter conference, the annual user conference for HomeBuilder hosted by our ERP partner Constellation HomeBuilder Systems, and the buzz around the customer ROI of our solution. Since that conference in October, we have closed four new payables automation orders for Constellation customers, and have launched a pilot program with a leading North American homebuilder, and land developer who is one of Constellation's largest customers. We're on schedule, to release our new complementary purchase order solution at the end of this quarter. Purchase order will expand our opportunity base, while also adding PO transaction volume to over half of our existing customers, who are using only the accounts payable functionality today. This will add incremental revenue to our existing AP customers. We have also recently launched our Payables Automation Solution into the K-12 market in coordination with our partner Software Unlimited Incorporated. After a pilot program with Clear Creek Community Schools, we have closed two additional Iowa school districts, and engaged our K-12 sales force and marketing team in February. Our K-12 pipeline is growing quickly. The K-12 customers can generally implement in less than half the time of the larger homebuilder entities. As a matter of fact, Independence Community School District went live in January, and has already caught the attention of their school board. According to their finance director, the school board likes the automated aspect of the system, not only because it greatly reduces the opportunity for human error and speeds payment processing, but also because it allows them to spend their time on more meaningful tasks. To quote her, even though we are just beginning to take advantages of the features available in the system, we are already more efficient. If we stop today, and didn't implement any of the rest of the features, I would still be happy with what we've accomplished. Throughout the rest of the year. We will be co presenting with Software Unlimited at numerous K12 conferences and trade shows, to drive deployment of our Payables Automation Solution into an ecosystem of 1,300 school districts. Our first priority is to make significant inroads in these two populations. We're not waiting on those alone though, and we have resources focused on finding the next partners like Constellation and Software Unlimited. We have an opportunity with niche ERP providers where we can outperform, and out support competing generic solutions. Further, unlike with many of the larger software solution providers who offer similar solutions as we do, we are not competitors with regard to our partners' core ERP systems. Accordingly, as we have been communicating, now is the time for us to invest in scaling our business. We began in earnest in the latter part of 2024 hiring more sales reps, implementation management and additional help desk support. We've continued investing in 2025, with bringing on sales engineering resources, and a VP of Sales to strengthen and institutionalize, our sales tools and processes as we grow. We've also expanded our outbound sales efforts, with internal and contracted resources. Our marketing spend will include more frequency, and a larger presence at select trade shows, as well as expanded campaigns. These investments will modestly, and we expect temporarily reduce our EBITDA, but we also expect that they will bring revenue opportunities that should exceed the spend, and be accretive at the same point in later 2025, and in 2026. I am greatly excited to be part of this mission. At this time, I'd like to turn the call over to our Chief Financial Officer Joe Spain, to talk to you about our financials.
Joe Spain: Thanks, Jim. I will now review our financial results for the fourth quarter of 2024. Total revenue for the quarter ended December 31, '24 increased 2.1% to $4.3 million, as compared to $4.2 million for the same period last year. The following are the components of our revenue, presented on our statements of operations. SaaS, including hosting revenue, increased 11.8% to $1.5 million for the quarter from $1.3 million for the same period last year, primarily driven by early payables automation successes. Software maintenance services, were down 2.5% from 2023 as expected, reporting $0.3 million in both periods. As a reminder, these revenues are from support agreements with customers, continuing on our premise solution. Professional services revenue, was flat at $2.2 million for the quarter each year. The fourth quarter 2024, produced the lowest growth of the year, due to timing of large scanning projects earlier in the year. As a percentage of total revenue, professional services revenue was 52% of the total for the quarter, down from 53% last year. Year-to-date, this revenue line has been strong, delivering 8.9% growth and a record revenue year for us, for this line item at $10 million, compared to $9.2 million last year. Consolidated gross margin increased 88 basis points to 65.8% for Q4 this year, compared to 64.9% last year. The increase was driven by both better revenue mix, meaning from more growth weighted towards SaaS revenue, and positive impact from price increases. Operating expenses increased 11% to 2.8 million for Q4, '24, compared to $2.5 million in Q4, '23. The increase was driven primarily by our investments in sales and marketing as part of our strategy to accelerate sales. The sales and marketing expenses for the quarter increased 37%, compared to the same period during 2023, which reflects all the investments in marketing and sales that Jim just noted. General and admin expense, increased 4.2% quarter-over-quarter. Net loss for Q4 was $54,000, compared to net income of $62,000 for the same period last year, as our revenue and margin improvements were offset by increased sales and marketing expenses, and an incremental $146,000 in share-based compensation expense for the quarter over the prior quarter, which is a non-cash expense. Net loss per share was $0.01 per share, for basic and diluted shares, compared to net income of $0.02 per basic share, and $0.01 per diluted share last year. Our adjusted EBITDA for the quarter was $601,000, compared to an adjusted EBITDA of $754,000 for the same period in '23, which reflects again our sales and marketing initiatives. Turning to the full year results, Total revenue for 2024, increased 6.7% to $18 million, as compared to $16.9 million last year. SaaS revenue increased 10.8% and professional services revenue increased 8.9%. Consolidated gross margin was 64%, compared to 62.6% last year. We're very pleased to be able to improve these already strong margins. Operating expenses increased 23.7% to $11.7 million for 2024, compared to $9.5 million in '23. This increase is driven by two primary factors. First, our share-based compensation, increased $830,000 year-over-year to $1.5 million from $700,000. Our MD&A in the 10-K, provides a table for more granularity, to compare year-over-year. The main takeaway for me to convey here today, is that all but $70,000 of this increase is non-cash. Without the share-based compensation operating expenses increased 14.9%, primarily driven by the annual sales and marketing expense increase, of 18.6%. Full year, net loss was $546,000, compared to net income of $519,000 last year. Net loss per share was $0.13 per share, compared to net income per basic share of $0.13, and per diluted share of $0.11 last year. Full year adjusted EBITDA, which takes into account the share-based compensation was $2.5 million, compared to adjusted EBITDA of $2.7 million for 2023. Here our sales and marketing investments, had a modest impact on the year-end results. Next I'll turn to a brief review of Intellinetics balance sheet. At December 31, '24, we had cash of $2.5 million and accounts receivable net of $1.1 million. Our total assets were $18.6 million, including $9.2 million in intangible assets and goodwill, as part of acquisitions made since 2020. Total liabilities were $7.9 million including $1.3 million in debt principal as of December 31, '24, which is due December 31, '25. Deferred revenues were $3.4 million, reflecting signed SaaS and maintenance contracts. Regarding cash flow, Jim mentioned it we had a tremendous year. Our cash flow statement shows, cash provided by operating activities was $3.9 million. From this we prepaid $1.6 million of our debt, and are able to fund our sales and marketing investments out of cash flow. I want to wrap up with a brief financial outlook, based on our current plans and assumptions, and subject to risks and uncertainties, we described in our filings and this call. We expect that we will grow revenues on a year-over-year basis, for fiscal 2025. We also expect our 2025, EBITDA to be reduced by more than half, compared to fiscal 2024, due to increased investment in sales and marketing, intended to provide returns on those investments in late 2025, and beyond. With that, we thank you all for listening. And at this time, we'd like to open up the call to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Howard Halpern with Taglich Brothers. Please proceed with your question.
Howard Halpern: Congratulations guys on the year and the smooth transition that you're making.
Jim DeSocio: Thank you.
Howard Halpern: In terms of the number of customers, how many are actually live and how many would you expect, or should we model for to go live in the second half of the year?
Joe Spain: That is Jim?
Jim DeSocio: Yes, that's a good question, Howard. And the majority of the customers? We had two customers go live last week, or in the last two weeks, and we have five in the process of implementation right now. And as I said, a number of times, they're going very smoothly. And the more that we get up and running, the more references we're going to have, and the faster the word is going to spread, throughout the prospect and our pipeline.
Howard Halpern: Okay. Does that - ones that are live, does that include last call, you talked about a large customer that you were anticipating getting live in the first quarter. Does that include that customer live?
Jim DeSocio: Yes, that was one of the larger Constellation customers, and I referenced it in my discussion around how many invoices that they see as throughput. And just a note, they're still coming up live. And as you're doing capture and it's educating itself, the more invoices you do every month, it just continues to educate. The system educates itself. And that's only 75%, 11,000 of the total invoices they're doing. So as the system continues to be used week-after-week, month-after-month, they'll get, we hope to get up to 70%, 80%, 90% of throughput without any human intervention. And that is probably industry standard of 85%, 90%, which is great.
Howard Halpern: Okay. And that's - and that's the enterprise side. You expect the same type of throughput on the K-12 side?
Jim DeSocio: Well, they're not doing the same amount of volume, but as we've learned from our early beta sites, and our first couple of customers, extremely happy. And as you saw from the Independence School District, where the VP of Finance is just ecstatic with how she's able to take, I don't want to say it's one full headcount, or two full headcounts, but it certainly reduced the amount of touch, human touch, substantially. And with school districts, the COVID money's dried up in school districts. They all have to start finding better ways, to invest their money. And this is - bodes very, very well for us. And we're continuously working with Software Unlimited. In the future, we plan to integrate into their system, tightly integrate into their system as well, which will provide more value to their customer base also.
Howard Halpern: Now, as part of expanding beyond. I know you still have a long runway with Constellation and the Software Unlimited, but what type of verticals maybe you can get into. And does getting into the school districts, could that bleed over to like county, or local governments wanting your system?
Jim DeSocio: Yes, yes as a matter of fact, we're talking to a number of different ERP players. Another rather large school ERP, who have about 2,300 customers. We're also talking, we had a press release a couple of months ago, with someone who provides ERP systems, to counties and municipalities. So that is a big area for us, and it's an underserved area for the marketplace as well, because of being able to cost effectively sell into those marketplaces.
Howard Halpern: And are you in the Constellation universe? Are you seeing any kind of hesitation from the customers, in terms of how they want to deploy their budgets, or is this just an easier sell to get it up and running, because of the ROI?
Jim DeSocio: Well, we found that there's a tremendous ROI. A lot of the customers, are waiting for a release of purchase order, which is imminent. But obviously the housing market with interest rates up, and some of the other challenges they've had, are being cautious. But my experience in selling finance - business software, is when companies are doing really, really well, they don't give, they don't really focus on the expense side. But when it gets tight, they go, oh, we need to save money. So this, should be a good opportunity for us to come in, and show a great ROI on this - on the spend side of their budgets. So we're - we think we're well positioned for that, yes.
Howard Halpern: And one final one, because in Q4, the SaaS, the SaaS line margin actually got up above that 85% level. Is that driven by these new SaaS - customers, and should we see it maintain probably at that 85% plus level?
Jim DeSocio: Joe, you want to handle that one? I would say it is - one of the customers coming up live yes…
Joe Spain: Yes. And some of it. I mean, there could be some timing. I think it's not an unreasonable range. That mid-80s, it's not going to be static. It's going to move depending on the nature of the customer, and the level of average summer. Some are easier than others, so it's going to move a little, but it's going to move within that narrow mid-80s range, yes.
Howard Halpern: Okay. Okay.
Jim DeSocio: If you remember, because of. Yes, Software Unlimited does all their selling and implementation, and our margins on the document management side is about 90% selling with Software Unlimited. So that did maintain itself on that, selling into their customer base, yes.
Howard Halpern: Okay. That sounds great. Keep up the good work, guys.
Joe Spain: Thank you.
Jim DeSocio: Thank you, Howard.
Jim DeSocio: Okay. I think we'll wrap it up. So let me just do my closing statements. Intellinetics is well positioned for continued success. We have significant momentum, a strong competitive position in a growing market, and a diverse set of solutions with ample cross-selling opportunities. Our business model, structured around recurring revenue, and aggressively growing our SaaS revenue, is working. Our Payables Automation Solutions provide an extremely quick return on investment for our customers, and offers our company a clear organic growth opportunity, to rapidly grow our SaaS revenue over the next four to five years, just with continuing a successful rollout with existing partners. We view cables automation as a transformative opportunity, for our company and we plan to continue to make investments, to position the product for as rapid an adoption, as we can drive. In addition to sales and marketing initiatives, we plan to enhance our development capabilities to bring features to market more quickly, and to bring our solutions to new ERP partnerships, which become additional ecosystems for happy customers. We appreciate the continuing support of our longtime shareholders, and aim to attract new investors as well by delivering strong and consistent financial results. Thank you all for joining our call, and we look forward to a great 2025. Thank you.
Operator: Thank you. And ladies and gentlemen, this concludes today's conference. You may disconnect your lines, at this time. Thank you for your participation.